Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Westlake Chemical Corporation's Second Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded today, July 30, 2013. I'd now like to turn the call over to today's host, Dave Hansen, Westlake's Senior Vice President of Administration. Sir, you may begin.
David R. Hansen: Thank you very much. Good morning, everyone, and welcome to the Westlake Chemical Corporation Second Quarter 2013 Conference Call. I am joined today by Albert Chao, our President and CEO; Steve Bender, our Senior Vice President and Chief Financial Officer; and other members of our management team. The conference call agenda will begin with Albert, who will open with a few comments regarding Westlake's performance in the second quarter and a current perspective on the industry. Steve will then provide a more detailed look at our financial and operating results. Finally, Albert will add a few concluding comments, and we will then open the call up to questions. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs, as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and, thus, are subject to risks or uncertainties. Actual results could differ materially based upon factors including the cyclical nature of the chemical industry; availability, cost and volatility of raw materials, energy and utilities; governmental regulatory actions and political unrest; global economic conditions; industry rates; the supply-demand balance for Westlake's products; competitive products and pricing pressures; access to capital markets; technological developments; and other risk factors. This morning, Westlake issued a press release with details of our second quarter financial and operating results. This document is available in the Press Release section of our webpage at westlake.com. A replay of today's call will be available beginning 1 hour after completion of this call until 1:00 p.m. Eastern Time on August 6, 2013. The replay may be accessed by dialing the following numbers: domestic callers should dial 1 (888) 286-8010; international callers may access the replay at (617) 801-6888. The access code for both numbers is 96627066. Please note that information reported on this call speaks only as of today, July 30, 2013, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed at our web page at westlake.com. Now I'd like to turn the call over to Albert Chao. Albert?
Albert Y. Chao: Thank you, Dave. Good morning, ladies and gentlemen, and thank you for joining us this morning. In this morning's press release, Westlake reported record quarterly net income of $146 million, or $2.17 per diluted share. This is the fourth consecutive quarter of increased earnings for Westlake and a 26% increase year-over-year. These record quarterly results reflect increased integrated margins for both Olefins and Vinyls. We continue to benefit from the ongoing low-cost feedstock environment that is the result of the abundant supply of natural gas liquids available from the shale, oil and gas production in the U.S. Our second quarter earnings results include record operating income for our Olefins segment, which demonstrates the continued benefit of our light Olefins crackers and our extended ethylene capacity that was added in the first quarter of 2013. The Vinyls segment results demonstrate improving income from operations, driven by lower feedstock costs and a gradual recovery in the construction market. Ethane-based ethylene continues to have a significant cost advantage over naphtha-based ethylene, benefiting our globally competitive light Olefins crackers. The combination of expanded low-cost ethylene capacity, improved feedstock costs and expanding integrated margins of polyethylene contributed to these record Olefins earnings. I'm pleased with our Olefins segment performance, as well as the improving earnings in our Vinyls businesses. Now let me turn over to Steve for a more detailed look at the financial and operating results for the second quarter and the year.
M. Steven Bender: Thank you, Albert, and good morning, everyone. I will begin by discussing our consolidated financial results, followed by a detailed review of our Olefins and Vinyls segment results. Let me start with our consolidated results. As Albert just stated, we reported a record quarterly net income for the second quarter of 2013 of $146 million, or $2.17 per share, an increase of $30 million, or approximately 26%, over second quarter 2012 net income. The low-cost feedstock environment for natural gas liquids continued in the second quarter, as ethane prices declined by 32% and propane prices declined by 6% over the same period last year, contributing to the higher integrated margins for both Olefins and Vinyls. Sales for the second quarter of 2013 were $939 million, which were $25 million higher than sales reported in the second quarter of 2012, primarily as a result of the May 1 acquisition of the Pipe and Foundation Group from CertainTeed, as well as higher sales volumes for the major Vinyls products, partially offset by lower feedstock and ethylene sales volumes. Westlake's operating income for the second quarter of 2013 was also a record at $235 million, an increase of $64 million, compared to the operating income in the second quarter of 2012. The increase in operating income, compared to the second quarter 2012, was driven mainly by lower feedstock costs and higher sales volumes for building products and PVC resin. Sales revenue of $939 million in the second quarter of 2013 were $74 million higher than sales in the first quarter of 2013. The increase in sales were largely driven by higher sales volumes for building products and PVC resin. The second quarter operating income of $235 million was $41 million higher than in the first quarter of 2013, due to higher average sales prices for polyethylene, PVC resin and higher sales volumes for most of our major Vinyls products. Now let me talk about LIFO versus FIFO accounting. Our utilization of the FIFO method of accounting resulted in unfavorable impact of approximately $32 million pretax, or $0.30 per share, in the second quarter as compared to what earnings would have been if we reported in the LIFO method. This FIFO impact was driven by the utilization of purchased ethylene that was necessary due to the planned turnaround of one of our Lake Charles ethylene units at the end of the first quarter. The purchased ethylene contributed to the higher cost inventory at the end of the first quarter, which flowed through cost of sales in the second quarter. Please bear in mind this is only an estimate and has not been audited. Let's now move on to review the performance of our 2 segments, starting with the Olefins segment. The Olefins segment reported operating income of $188 million on sales revenue of $623 million during the second quarter of 2013, compared to an operating income of $156 million on sales of $673 million in the same period of 2012. The lower sales revenue in the second quarter 2013 are attributable to lower ethylene and feedstock sales volumes. The higher operating income was mainly attributable to higher Olefins integrated margins as compared to the prior-year period, primarily as a result of lower feedstock costs. Olefins operating income of $188 million in the second quarter of 2013 was $27 million higher than operating income in the first quarter 2013. The increase in operating income benefited from higher integrated margins, primarily as a result of higher average sales prices for polyethylene and higher ethylene sales volumes, which were partially offset by lower polyethylene sales volumes. Elevated ethylene prices and solid demand for polyethylene supported industry price increases for polyethylene, totaling approximately $0.03 a pound during the second quarter. Looking forward, the industry has announced an additional polyethylene price increase of $0.04 a pound going into effect in the third quarter. Now let's move to the Vinyls segment. The Vinyls segment reported income from operations of $53 million in the second quarter of 2013, which is its strongest quarter in 7 years, and $30 million higher than the second quarter of 2012. The increase in earnings was a result of higher Vinyls integrated margins, largely resulting from lower feedstock costs and higher sales volumes for all major products as compared to the prior-year period. These results were partially offset by a one-time cost [Audio Gap] million dollars related to the acquisition of the specialty pipe business that we purchased in May. The Vinyls operating income of $53 million in the second quarter of 2013 increased $9 million over the operating income reported in first quarter of 2013. The increase in operating income was a result of improved integrated Vinyls margins resulting from higher PVC sales prices and volumes. The industry has announced an additional price increase of approximately $0.04 a pound for PVC, and a $40 per ton increase for caustic for the third quarter. Now let's turn to the balance sheet and the statement of cash flow. Our cash and marketable securities balance was $656 million, and our total debt was $764 million at the end of the second quarter. We generated $256 million in cash from operating activities in the first 6 months of 2013 and incurred $298 million in capital expenditures. In addition, we completed the acquisition of a PVC pipe fittings and foundations business in the second quarter of 2013 for $178 million, after making a working capital adjustment. As we mentioned in our first quarter earnings call, we would like to remind you that our capital expenditures are being funded from our cash balances, and interest associated with the funding of these projects is being capitalized. We expect our interest expense for 2013 to be in the range of $23 million to $27 million. We expect the full year 2013 capital expenditures to remain between $500 million to $550 million. This capital expenditure estimate includes the Lake Charles ethylene expansion that was completed in the first quarter of 2013, the construction of our Geismar chlor-alkali plant that is scheduled to be completed in the fourth quarter of this year, and the long lead items related to our Calvert City ethylene plant feedstock conversion and expansion project that will be completed in 2014. The flexibility of our capital structure provides us with a variety of options as we consider growth prospects and new investment opportunities, both internally and externally. This flexibility allows us to maintain our conservative approach to growth and pursue projects that bring value to our shareholders. Now I'd like to turn the call back over to Albert to make some closing comments. Albert?
Albert Y. Chao: Thank you, Steve. Westlake's second quarter financial results reflected earnings potential of our light Olefins crackers, driven primarily by lower-cost natural gas liquids base ethane production resulting from North American shale gas and oil production. We have benefited from integrated margins that are driven by favorable natural gas liquids cracking economics. The billions of dollars invested to produce, fractionate and transport natural gas liquids should keep feedstocks abundant, sustaining this global cost advantage. Our integration strategy, which is aimed at improving our cost and market position, continues to move forward as planned. In the first quarter, we've successfully completed the expansion of one of our Lake Charles crackers to enhance our ethylene integration and improve our cost structure. In the second quarter, we completed the strategic acquisition of our new specialty pipe business, which enhanced our North American pipe and building products portfolio by adding specialty product lines and supporting technology that we did not previously have. Our planned completion of a new chlor-alkali plant in Geismar, Louisiana, in the fourth quarter this year and the conversion to ethane feedstock, the expansion of our ethylene and PVC capacity in Calvert City, Kentucky in 2014, are expected to further enhance our integration and improve the possibility of our Vinyls segment. We continue to make progress in our capital investments to complete our strategic objectives of enhancing core integration, leveraging our existing asset base and adding meaningfully to our earnings potential. These investments provide a strong foundation for our future. It allows us to capture sustained benefits of ethane out from shale oil and gas. Thank you very much for listening to our earnings call this morning. Now I'll turn the call back over to Dave Hansen.
David R. Hansen: Thank you, Albert. Ladies and gentlemen, before we begin taking questions, I would like to remind you that a replay of this teleconference will be available starting 1 hour after we conclude this call. We'll provide that number for you again at the end of the call. Operator, we're now prepared to take questions.
Operator: [Operator Instructions] The first question comes from the line of Brian Maguire of Goldman Sachs.
Neal Sangani - Goldman Sachs Group Inc., Research Division: This is actually Neal Sangani on for Brian. Would you be able to give us some color on any potential interest in the ethylene crackers up for sale at Longview?
M. Steven Bender: Well, certainly, we understand that they're out in selling these assets or marketing these assets, and as you can well understand, we're in the ethylene business, but I can't comment any further on the sales process.
Neal Sangani - Goldman Sachs Group Inc., Research Division: And now that your ethylene expansions are complete, can you maybe elaborate on some of the key bottlenecking opportunities you have in the months and years ahead?
M. Steven Bender: We certainly have worked underway today to expand and debottleneck and convert the feedstock of our cracker in Kentucky. In 2014, we'll be expanding that cracker by about 180 million pounds and converting the feedstock from propane to ethane. And we continue to study undertaking a similar initiative by expanding our cracker in Lake Charles, which should be slated for 2015, and we're continuing that effort now and studying that process.
Neal Sangani - Goldman Sachs Group Inc., Research Division: Just a quick one on accounting from -- on ethylene sales from Olefins to Vinyls, is that done on cost or market prices?
M. Steven Bender: Done on a market transfer basis.
Operator: Your next question comes from Hassan Ahmed of Alembic Global.
Hassan I. Ahmed - Alembic Global Advisors: A quick question around the volumes. Obviously, we've all been sort of hearing about China sort of slowing down and the like. But -- more and more sort of economy has gone out and seemed to be downgrading their GDP growth estimates for that country. But now, you take a look at the polyethylene side of things, and it seems to present a pretty divergent picture. I mean, I was reading an industry sort of journal, and I came across sort of volume growth numbers on the polyethylene side in China of around 13% for the first half of this year. I mean, I would sort of really appreciate your insights as to what's going on out there.
Albert Y. Chao: China's economy certainly has slowed compared with past years. But we see the demand for our products still continues to grow at a slower pace. And we have seen polyethylene prices, as we speak, improving from the low of second quarter.
Hassan I. Ahmed - Alembic Global Advisors: So is this mainly sort of restocking or sort of decent demand coupled with some sort of restocking as well?
Albert Y. Chao: I think all of the demand is decent, but demand is okay. And with oil price going up in the last few weeks or months, there's a lot of pressure for prices going up. I think most of the upper crackers in Asia are breaking even at best.
Hassan I. Ahmed - Alembic Global Advisors: Fair enough. Now on a separate note, just a question around the cost curves. I mean, it seems some interesting things seem to be going on over there. Obviously, the U.S. continues to benefit from the ethane base cost advantage. But I would love to hear your views about the Middle Eastern side because at least over the last couple of quarters, I take a look at a company, like Saudi Kayan, seems to be still running at reduced operating rates, which begs the question that, are they truly getting the ethane allocation out in the kingdom? So that's one side. And then, literally, yesterday, industry of Qatar came out with their earnings. And it seems that they've escalated the price of natural gas there, but they've sold some of their units to almost $4 an MMBtu. So how do you see the Middle Eastern side of the cost curve panning out over the next couple of years?
Albert Y. Chao: That's a very good question. I think with the new Middle East project coming onstream, many of them are mixed feeds, which means combination of ethane, propane, butane, maybe naphtha. If you look at the combined costs for those feedstocks, they will be less attractive, less competitive than U.S. ethane-based crackers today.
Operator: Your next question comes from Frank Mitsch of Wells Fargo Securities.
Sabina Chatterjee - Wells Fargo Securities, LLC, Research Division: This is Sabina Chatterjee on for Frank Mitsch. Albert, just a question on chlor-alkali, if I may, you and others have got additional capacity coming online in Q4. Can you just comment on what you see the industry structure being like at year end and maybe into 2014? Like, for example, do you see rationalization? And how do you think pricing could trend?
Albert Y. Chao: Well, certainly, when you have additional capacity that's beyond the demand growth for the industry, there will be pressure on pricing and volume. And time will tell whether people will rationalize or reduce the operating rates to meet the increased cost competitive.
Sabina Chatterjee - Wells Fargo Securities, LLC, Research Division: So if you could venture or guess on what could happen in -- by year end, do you think somebody will shut down capacity?
Albert Y. Chao: Potentially possible. But people can also look at export of whether chlorine [indiscernible] or caustic to reduce the domestic pressure from increased capacity.
Sabina Chatterjee - Wells Fargo Securities, LLC, Research Division: Okay. And then, just a follow-up on PVC, this segment did a lot better than we had expected, could you just carve out the contribution maybe from the PVC pipe acquisition and comment on your outlook for construction in general?
Albert Y. Chao: Well, we don't give out the detail of the different products and element from our new acquisition. But certainly, it helps contribute to the sales and the ability of our business going forward. I think the construction market has improved, albeit slowly. And we see the volume increased partially from the improved concession market in the U.S. It's still very gradual.
Sabina Chatterjee - Wells Fargo Securities, LLC, Research Division: Okay. And then, just an accounting question. FIFO, you said, was unfavorable by $0.30. As far as purchased ethylene goes, do we have to be concerned about that in Q3? Or have we drawn down inventories at the purchased ethylene?
M. Steven Bender: Yes, Sabina. That was a carryover from the first quarter. I mentioned in our prior call that we had purchased ethylene while we were doing the turnaround and debottleneck. And so, we mentioned in the first quarter. And now, the second quarter impact shouldn't be that big of an impact going forward at this stage.
Operator: Next question comes from Charles Neivert of Cowen.
Charles N. Neivert - Cowen and Company, LLC, Research Division: Just a quick question, on the acquisition, you talked about how it gives you additional technology, some higher-end product. Is any of that, that you purchased in that acquisition transferable to other things within your fabricated products business? I mean, are we going to see sort of an improving mix, not simply because you're adding something that's slightly higher end, but because you can improve the things that you're already doing through the technology you've acquired?
Albert Y. Chao: Yes, certainly, that's part of synergy that we believe will benefit Westlake's [indiscernible] cost going forward.
Charles N. Neivert - Cowen and Company, LLC, Research Division: Also, looking forward, ethylene pricing came down, I guess, stair-step each month of the quarter. Have you -- are you guys seeing that stabilizing now that we're into the third quarter? Where is it looking like for July and August? Are we looking for another 2-month settlement? Or are we going to probably get a real July settlement here?
Albert Y. Chao: From what we understand that the July settlement will probably be flat, but we haven't closed July yet so time will tell. And the forward pricing is pretty flat going to the rest of the year. And as you know, there will be turnaround coming up in the third quarter as we speak.
Operator: Your next question comes from Alex Yefremov of Bank of America Merrill Lynch.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: I have a general and more specific question on fabricated products industry, and maybe can you, in general, describe sort of the state of the industry, whether it's healthy right now or needs maybe further consolidation. And more specifically, have recently -- have there recently been price increases in fabricated products and maybe more specifically in pipes? And have those increases been catching up with the increase in PVC?
Albert Y. Chao: Yes. There have been price increases across the board in areas of building product segments that we're participating. And it has certainly reflect the higher prices in PVC this year, as well as the improved business market economy. I will say that we're certainly not back to the good days of doing the height of build -- construction activities in the U.S. back in the mid-2000.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: Now regarding your chlor-alkali start-up, should we think about first quarter 2014 as when the benefits from the start-up begin? And also, should we expect any start-up costs in the fourth quarter?
M. Steven Bender: Alex, as we said, the unit will start up in the fourth quarter. That's our expectation. There will be start-up costs incurred in the fourth quarter. And as we go forward into '14, we'll begin to see the contribution, but we're not, at this stage, going to give any guidance into '14.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: How about some start-up costs, do you have any idea?
M. Steven Bender: Yes, I'm not going to give you the start-up costs at this stage. But as I say, there will be start-up costs incurred as we start that unit up in the fourth quarter.
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: Okay. And lastly, maybe if you could give us some idea on how demand is trending in July for both polyethylene and PVC resin?
Albert Y. Chao: The volume or prices?
Aleksey V. Yefremov - BofA Merrill Lynch, Research Division: The volume.
Albert Y. Chao: Yes, I think the summer low in July, American fabricated, typically take some vacations in the plant in July. So we saw some reductions in volume in June and July. But we believe that as the vacations are over, the volume will pick up speed again. Typically, second and third quarter are the 2 best quarters for the year in both Olefins and Vinyls businesses.
Operator: Your next question comes from John Roberts of UBS.
John Roberts - UBS Investment Bank, Research Division: The price variance table in your release that shows the sequential price changes, has the Vinyls price is down 0.5% sequentially, what declined in price to cause that to be down 0.5%?
Albert Y. Chao: Those are probably more in our Olefins. We have byproducts credits in our Olefins unit in the bottle segment. As you know, many of the propylene and butadiene prices has dropped and that has an impact on the pricing. Even for PVC, we had price increases.
John Roberts - UBS Investment Bank, Research Division: That's right. Most of the prices went up in the Vinyls segment. So I wouldn't expect that to be overwhelmed by co-products going down?
Albert Y. Chao: Well, it had a big influence.
John Roberts - UBS Investment Bank, Research Division: Okay. And then, did you see any impact during the quarter at the Williams outage? And what I'm thinking about is whether the exports, some of the derivatives might have been less? Or some of your nonintegrated competitors might have been less competitive in the marketplace and maybe the export market was a little healthier with the Williams plant down?
Albert Y. Chao: I think the spot ethylene price shot up [indiscernible] from low $0.50s to above $0.60 a pound for polyethylene. But since then, most of the other ethylene plants that had turnaround came back to operations. So the ethylene -- spot ethylene price is now in the mid-$0.50s.
John Roberts - UBS Investment Bank, Research Division: So you don't think the competitive intensity in the export market was affected by that?
Albert Y. Chao: Maybe for a while, yes. But I think today's spot price, being the mid-$0.50s, certainly reflects the availability of ethylene compared when it was in $0.60 range.
Operator: [Operator Instructions] Our next question comes from Ken Franklin [ph] of ICIS.
Unknown Analyst: I wanted to ask you, Eastman was asked earlier today about the pipeline between Longview and Mont Belvieu and a tariff dispute between your company and those who use that pipeline. I wondered if you had any comments about that tariff dispute.
M. Steven Bender: Well, as you mentioned, there is a pipeline that runs between Longview and the Gulf, and there is a tariff rate that is in effect. We've seen and received no comment or complaint from Eastman nor from the Texas Railroad Commission at this time. So it would be premature for me to make any comment.
Operator: Your next question comes from Richard O'Reilly of Revere Associates.
Richard O'Reilly: I believe on your first quarter call, you had highlighted the course of the Lake Charles turnaround. And I thought you had indicated there would be more expense, or cost, in the second quarter. Did that turn out to be what you thought?
M. Steven Bender: Yes. In fact, I outlined that we thought we'd have about a $30 million impact that would carry over into the second quarter. And in my comments this morning, I mentioned that there was a $32 million impact. So that was the impact that I made reference to last quarter.
Richard O'Reilly: Okay, fine. I'm sorry, I didn't hear that number. Okay. And I guess I'm a little confused also, like John Roberts, the ethylene co-products show up in the Vinyls segment, not the Olefins?
M. Steven Bender: Yes. We have an ethylene cracker in western Kentucky that sits in the Vinyls segment. And that is the co-product that Albert was referring to.
Richard O'Reilly: Okay. And then, just to follow up on the Eastman -- the previous Eastman question. They did make a comment this morning about filing something with the Texas Railroad Commission. So I don't expect you to comment on that, but that's what they had told us today.
Operator: Your next question comes from Bill Young of ChemSpeak.
William Young: A question about PVC. Can you give us a rough idea what your capacity utilization has been across the board for your PVC resins? And what proportion right now you think is being exported for Westlake versus the industry overall?
Albert Y. Chao: Certainly. I think we are operating at a relatively high rate. We are still buying ethylene and buying chlorine, so there's some impact on our ability to export the pricing. Does that answer your question, Bill?
William Young: Well, I'm just wondering how your expert proportion compares to that for the industry overall.
Albert Y. Chao: I think ACC reported export in second quarter PVC is about 37% of its production. And we believe that in most of our products, we export a lower ratio than the industry exports.
Operator: Thank you. At this time, the question-and-answer session has now ended. Are there any closing remarks?
David R. Hansen: We would like to thank you today for your participation in our call. We hope you will join us again for our next conference call to discuss our third quarter 2013 results. Have a wonderful day.
Operator: Thank you for participating in today's Westlake Chemical Corporation Second Quarter Earnings Conference Call. As a reminder, this call will be available for replay beginning 1 hour after the call has ended and may be accessed until 1:00 p.m. Eastern time on Tuesday, August 6, 2013. The replay can be accessed by calling the following numbers: domestic callers should dial 1 (888) 286-8010; international callers may access the replay at (617) 801-6888. The access code of both numbers is 96627066.